Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Eltek Limited Third Quarter 2016 Financial Results Conference Call. All participants are at present in a listen-only mode. Following management’s formal presentation, instructions will be given for the question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded November 16, 2016. Before I turn the call over to Mr. Yitzhak Nissan, Chairman of the Board and Chief Executive Officer; Roberto Tulman, Deputy CEO and Chief Technology Officer; and Amnon Shemer, Chief Financial Officer, I would like to remind participants that comments made during this conference call may contain projections or other forward-looking statements regarding future events or the future financial performance of Eltek Limited. These statements are only projections and reflect the current beliefs and expectations of the company. Actual events or results may differ materially. With that said, it is routine for internal projections and expectations to change as quarters progress. All forward-looking statements are based on information available to the company on the date hereof, and the company assumes no obligation to update such statements. Please refer to the documents, the company files from time to time with the SEC, specifically the company’s annual report on Form 20-F, and periodic reports on Form 6-K, and the Safe Harbor language contained in the company’s press releases. These documents contain and identify important factors that could cause the company’s actual results to differ materially from those contained in its projections or forward-looking statements, which the company urges all investors to consider. Eltek undertakes no obligation to publicly release their revisions to such forward-looking statements that may be made to reflect the events or circumstances after the date hereof or to reflect the occurrence of unanticipated events. I will now turn the call over to Mr. Yitzhak Nissan. Mr. Nissan, please go ahead.
Yitzhak Nissan: Thank you. Good morning everyone. Thank for joining us and welcome to Eltek’s 2016 third quarter earnings call. With me is Roberto Tulman, Deputy CEO and Chief Technology Officer; and Amnon Shemer, our Chief Financial Officer. We will begin to provide you with an overview of our business and a summary of the principal sectors that affected our results in the third quarter; followed by the details of our financial results. After our prepared remarks we will be happy to answer any of our questions. By now, everyone should have access to our third quarter press release which was released earlier today. The release is also available on our website at www.nisteceltek.com. I’m happy to share with you our results for the third quarter of 2016. Third quarter revenues $9.3 million were lower than the revenues in the third quarter of 2015, which was $10.8 million. The decrease was due to a competitive pressure in Israel and certain European countries and continued weakness in the German PCB market, which led to a decline in sales of our subsidiary, Kubatronik. We have also experienced operational difficulties that impeded our ability to meet the demand of our products. We have recently made several changes in our manufacturing operation to address these difficulties. The demand for our products in Italy and Netherlands was strong. We believe that the growing need for complex PCBs in the defense industry will benefit us in the long run. We remain focused to our target to become the leading company in our field in terms of technology, on-time delivery and product quality. I’m now turning the call over to Amnon Shemer, our CFO to discuss our financials. Amnon, please.
Amnon Shemer: Thank you, Yitzhak. Let me please turn your attention to the financial for the third quarter of 2016. I will only go into detail on the most important financial segment items. I will be discussing also non-GAAP financial results such as EBITDA. Eltek uses EBITDA as a non-GAAP financial performance measurement. Please see our earnings release for our definition of and the reasons for its use. Revenues for the third quarter of 2016 were $9.3 million, compared to $10.8 million in the third quarter of 2015. Gross profit was $880,000, 10% of revenues, compared to gross profit of $1.7 million, 16% of revenues in the third quarter of 2015. The decrease in gross profit and gross margins reflect the decrease in revenues and the pricing challenges we have faced in this quarter. Operating loss was $338,000, compared to an operating profit of $607,000 in the third quarter of 2015. Net loss was $446,000 or $0.04 per share compared to a net profit of $624,000 or $0.06 per share in the third quarter of 2015. EBITDA amounted to $164,000, compared to EBITDA of $1 million in the third quarter of 2015. Net cash provided by operating activities amounted to $643,000, compared to net cash provided by operating activities of $639,000 in the third quarter of 2015. Shareholders’ equity as of September 30, 2016 amounted to $10 million, compared to $10.2 million as of December 31, 2015. Cash and cash equivalents as of September 30, 2016, were $842,000 compared to $1 million as of December 31, 2015. That concludes the formal part of our call. We are now ready to take your questions.
Operator: Thank you. Ladies and gentlemen at this time we will begin the question-and-answer session. [Operator Instructions] There are no further questions at this time. Before I ask Mr. Nissan to go ahead with his closing statement, I would like to remind the participants that a replay of this call will be available tomorrow on Eltek’s website, www.nisteceltek.com. Mr. Nissan, would you like to make your concluding statement?
Yitzhak Nissan: Yes, of course. Thank you very much for your participation. Hope to see you all in our future events. With that, thank you very much.
Operator: This concludes the Eltek Limited third quarter 2016 financial results conference call. Thank you for your participation. You may go ahead and disconnect.